Operator: Good day, and welcome to the Exponent Fourth Quarter and Fiscal Year 2015 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Whitney Kukulka. Please go ahead.
Whitney Kukulka: Thank you, operator. Good afternoon, ladies and gentlemen. Thank you for joining us on Exponent's fourth quarter and fiscal year 2015 financial results conference call. Please note that this call will be simultaneously webcast on the Investor Relations section on the company’s corporate website at www.exponent.com/investors. This conference call is a property of Exponent, and any taping or other reproduction is expressly prohibited without prior written consent. Joining me on the call today are Paul Johnston, President and Chief Executive Officer; and Richard Schlenker, Executive Vice President and Chief Financial Officer. Before we start, I would like to remind you that the following discussion contains forward-looking statements, including but not limited to Exponent’s market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in Exponent’s periodic SEC filings, including those factors discussed under the caption Factors Affecting Operating Results and Market Price of Stock in Exponent’s most recent Form 10-K. The forward-looking statements and risks in this conference call are based on current expectations as of today, and Exponent assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now, I will turn the call over to Paul Johnston, President and Chief Executive Officer. Paul?
Paul Johnston: Thank you. Thank you for joining us today for our discussion of Exponent’s fourth quarter and fiscal year 2015 results. For the quarter, net revenues increased slightly to $69.8 million from the same quarter in 2014. Net income for the quarter increased 7% to $9.9 million, or $0.36 per diluted share. For the fiscal year, net revenues were $295.7 million, a 2% increase from fiscal 2014. Net income increased 7% to $43.6 million or $1.60 per diluted share. We are pleased to have closed out 2015 with strong earnings and cash flow in the fourth quarter. We were able to expand our margins in 2015, as a result of a slight increase in utilization and low expense growth. These results were especially good considering the impact of a major project wrapping up in the third quarter and a decline in defense technology development during the year, both of which we have discussed previously. For the year, our underlying organic growth of net revenues was in the high-single-digits. During the year, we had notable performances from our materials, polymer science, and biomedical practices, as well as our infrastructure group. In materials and polymer science, we experienced strong demand from the consumer electronics industry as they broadened their product offerings and need assistance with the use of new materials. In biomedical, we continued to assist clients with regulatory approvals and assessing field performance of their products. Our infrastructure group benefited from increased commercial construction and infrastructure spending. We maintained our diligent cash management focus, as well as stock repurchases and quarterly dividend payments, and closed the year with a very strong balance sheet. In 2015, we generated over $60.5 million in cash from operating activities and ended with $171.6 million in cash. In 2015, we repurchased $23.3 million in common stock and paid $15.6 million in dividends. Today, we announced an increase in our quarterly dividend from $0.15 to $0.18 per share and reiterated our intent to continue paying dividends going forward. We believe that the combination of stock repurchases and dividend payments reflects our commitment to delivering shareholder value and our confidence in the strength and long-term financial health of the company. While we had a challenging year-over-year comparison in the fourth quarter, I will need to clear that first half of 2016 before we return to normal year-over-year comparisons. We are optimistic about our growth opportunities and are confident in our ability to generate long-term shareholder value. Now I will turn the call over to Rich for more detailed review of our financial performance and business outlook.
Rich Schlenker: Thanks, Paul. For the fourth quarter of 2015, revenues before reimbursements or net revenues, as I will refer to them from hereon, was $69.8 million, up nominally from $69.6 million in the fourth quarter of 2014. Total revenues for 2015 were $73.7 million, up slightly as compared to one year ago. Net income for the fourth quarter increased 7% to $9.9 million or $0.36 per diluted share, as compared to $9.2 million or $0.34 per share in the same quarter of 2014. EBITDA for the fourth quarter was $17.4 million versus $17.2 million in the same period of 2014. For fiscal year 2015, net revenues were $295.7 million, up 2% from $289.2 million in the prior year. Total revenues for 2015 were $312.8 million, as compared to $304.7 million one year ago. Net income for the year increased 7% to $43.6 million, as compared to $40.7 million in 2014. Earnings per share increased 9% to $1.60 as compared to $1.47 in the prior year. EBITDA increased 4% to $76.4 million versus $73.2 million one year ago. For the full-year, our underlying revenue growth was in the high-single-digits, but was offset by the impact of a major project, which was approximately 5% of revenues ending in the third quarter of 2015, and a significant decline in defense technology development, as a result of the withdrawal of troops from Afghanistan in the fourth quarter of 2014. In the fourth quarter of 2015, net revenues for defense technology development were $700,000 as compared to $1.4 million in the same quarter last year. For the full-year, net revenues for defense were $3.3 million, as compared to $10.9 million a year ago. For the fourth quarter, billable hours declined 4% to 260,000 as compared to the same period last year. For the year, billable hours increased 2% to 1,125,000. Utilization in the fourth quarter and full-year were consistent with our expectations of 66% and 72% respectively. The fourth quarter was down from the unusually high utilization we saw in the same period last year, as a result of the factors discussed earlier and that our underlying business was very strong in the fourth quarter of 2014. Utilization for the full-year, increased slightly to 72% as compared to 71.8% in the prior year. For 2016, we expect utilization to be down 0.5% to 1% as compared to 2015, which is attributable to the major project stepping down during the third quarter of 2015. Technical full-time equivalent employees in the fourth quarter were 760, which is an increase of 1% as compared to last year. For the full-year, FTEs were up 1.4% to 751. We ended the year with approximately 755 FTEs. For 2016, we expect quarterly sequential headcount growth to be approximately 1%. In 2015, the realized rate was approximately 1.5% but was partially offset by 0.5% from translating foreign currency for consolidated financial statements. For 2016, we expect to return to more normal range and realize a rate increase of approximately 2% to 3%. Despite the nominally flat revenues and decreased utilization in the fourth quarter, EBITDA margins for the quarter increased to 24.9% of net revenue as compared to 24.7% in the same period last year. For the full-year, EBITDA margin increased 50 basis points to 25.8% as compared to 25.3% in 2014. For the fourth quarter, compensation expense, after adjusting for gains and losses and deferred compensation, was approximately flat. Included in total compensation expense, is a gain in deferred compensation of $1.1 million, as compared to $1.2 million in the same quarter one year ago. As a remainder, gains and losses in deferred compensation are offset in miscellaneous income and have no impact on the bottom line. For fiscal 2015, adjusted compensation expense increased 1.6% after adjusting for a loss in deferred compensation of $300,000 as compared to a gain of $2.5 million in the prior year. Stock-based compensation expense was $2.4 million in the fourth quarter of 2015, and $13 million in fiscal 2015. For 2016, we expect stock-based compensation expense to be approximately $13.5 million, with $5.5 million being expensed in the first quarter and $2.7 million in each of the remaining quarters. Other operating expenses increased 2.8% to $7 million in the fourth quarter, and $2.6% to $27 million for the full-year. Included in other operating expenses is depreciation expense of $1.4 million in the fourth quarter and $5.5 million for the full-year. For 2016, other operating expenses are expected to be $7 million to $7.5 million per quarter. G&A expenses decreased by 6.8% to $3.8 million in the fourth quarter, and 3.5% to $15.3 million for the full-year. The decrease was primarily the result of us having a smaller principals meeting in 2015 than the managers meeting we had in 2014, as well as lower professional service fees. For 2016, G&A expenses are expected to be $3.9 million to $4.4 million per quarter. Our fourth quarter tax rate was $38.4%, down from 41.6% during the same period last year. Our full-year 2015 tax rate was 38.7%, down from 40.1% during the prior year. Our 2015 income tax rate came down due to restructuring of foreign entities that we completed in 2015. For 2016, we expect our tax rate to be approximately 38.7%, in line with 2015. For the fourth quarter, operating cash flow was $26.2 million. Fiscal year 2015 operating cash flow was $60.5 million. Capital expenditures were $630,000 in the fourth quarter and $5.4 million for the year. In 2015, we repurchased $23.3 million of our stock for a total of 530,000 shares at an average price of $43.96. We still have $46.8 million authorized and available for repurchases under our current repurchase program. During the year, we distributed $15.6 million to shareholders through dividend payments, and today, announced an increase in our quarterly dividend payment to $0.18 for the first quarter of 2016. We closed 2015 with $171.6 million of cash and short-term investments. Looking forward to fiscal 2016, we expect growth in revenues before reimbursements to be in the mid-single-digits. We believe our underlying growth will be in the high-single-digits but will be partially offset by the completion of a major project during the third quarter of 2015, which we have previously discussed. We expect that 2016 EBITDA margin will decline approximately 50 basis points to 100 basis points as compared to 2015, as a result of slightly lower utilization. I will now turn the call back to Paul for closing remarks.
Paul Johnston: Thank you, Rich. As we look into 2016, we are focused on further expanding our unique market position and assessing reliability, safety, human health effects and environmental impacts of increasingly complex technologies, products and processes. We will leverage our experience and reputation and reactive services to continue the development of our proactive services, such as design evaluations, risk management and regulatory consulting. While the various factors we discussed in the last few calls created headwinds for the top line growth in 2015 and the first half of 2016, we believe our strong bottom line results and healthy capital structure demonstrates the resilience of our model. Our long-term financial goals remain the same, reduced organic revenue growth, improved profitability and maintain a solid balance sheet to deliver long-term shareholder value through our ongoing stock repurchases and dividend payments. Operator, we are now ready for questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Tobey Sommer with SunTrust.
Tobey Sommer: Thank you. Couple of questions. Maybe start out with what is the business like in the auto segment, and specifically, I guess we get a lot of questions about Volkswagen. And I know you don’t normally talk about specific customers by name whether they may or not may be, but if you could talk to us about activity in the auto area and any kind of color within the boundaries that you can't speak, that would be terrific.
Paul Johnston: Yes. As we indicated sort of the last time we talked about Volkswagen and I indicated it was the kind of thing we would get involved in, but I wouldn’t be able to comment unless such time we had a client who wanted us to comment on that. But let me just say overall that in the auto area, there is a significant amount of ongoing activity. I mean, the reality is if you just go out there and look at the various news items while Volkswagen may have equipped some other things there recently, there is still a lot of discussion about airbags, there is still some discussion some of GM’s former issues and some unintended acceleration cases and so forth going forward. So I would say that, that part of our business continues to be pretty robust.
Tobey Sommer: And kind of curious if you could comment historically when - if you’ve had experiences in the past where a client acknowledges on the front-end some issues and then works through various projects to resolve those. Is that kind of engagement the same size as may be a client who doesn’t acknowledge wrongdoing on the front-end or historically have similar situations been different?
Paul Johnston: Yes. So I mean, first of all, I want to make sure that my comments don’t get misconstrued with regard to the word wrongdoing. I think the only case that I am really familiar with where that’s sort of being very apparent from the beginning was the Volkswagen matter because they came out and had that kind of a press conference. In other situations we get involved often when we don’t know whether there is a problem or not. In other words, is there a product defect as it were or not. And through that process, we’re often a part of figuring that out. It’s very difficult to generalize. I mean, certainly there can be a lot of work done to prove whether there is or isn't a problem, and that certainly was the case I can say with regard to the issue that Toyota had in unintended acceleration. There was an allegation made that they had a problem with their electronics and software that turned out not to be the case and it turned out to take a lot of work to determine that, which we determined and also NHTSA and NASA also determined. Other situations are a little bit different, whether you look at the GM addition switch or some various other issues or the issues associated with airbags today. So it’s very difficult to generalize on these. Each one is its own matter and the dollar impact to the company on the issue does not necessarily represent the size of the case it might be for us, because sometimes technically it’s very difficult to figure out what is or is not happening and other times it’s not very difficult to figure that out. And figuring that out is a huge part of what we do. So when that part of the problem is difficult, that’s when we tend to get a lot of work.
Tobey Sommer: Thank you. I appreciate that. And I was curious what factors are giving you confidence that there will be more rate traction in 2016?
Paul Johnston: Yes, so look, I think from our standpoint, we can look at sort of a number of factors. We’ve increased our rates every year, as we described in January, we increased our rates. In terms of how much flows down to the rates we’ve realized, there is a lot of different factors involved in that including - essentially the mix for us, how much of it is senior people versus more junior people and so forth. And we’ve been going through a period where we’ve had a little more leverage and more of the work is being done in some of the practices that would use up on average lower bill rate people. That has made the realization rate appear low relative to some other years. And we don’t think that trend is going to continue in the same way as it has. And so I think we feel that this year we should get - we should realize more out of our rate increases than we have in recent years.
Tobey Sommer: Okay. Just two others for me, if I could ask a numerical question of Rich, the breakdown between sort of the engineering piece of revs and environmental health.
Rich Schlenker: Yes, on a net revenue basis for the fourth quarter, our net revenues from environmental and health were $15.5 million and our net revenues from the engineering and other were $54.3 million. On a total revenue basis, environmental and health were $15.9 million and engineering was $57.8 million. So those are the fourth quarter two revenue numbers.
Tobey Sommer: And then the last thing, we talked over time I think about maybe returning more capital to shareholders, so as to get the cash level - net cash level down to a smaller rate. What’s your current thinking on how long that process may last? Thank you.
Paul Johnston: Yes, I think that we’ve generally thought that, that was sort of four to five year type process. I think the reality is that there are moving parts to that and the stock price moved up rather significantly in 2015, and I think when the stock price is hitting new highs we tend to be lighter on our buybacks than we are if there is a little bit of a pullback in the stock. So I think in a year like 2015, I think we’ve bought back what $23 million or so in stock, but probably less than we would have had the price not moved up quite as much as it had. So I think that’s why it’s sort of difficult to predict exactly. We don’t come out and say we’re going to do a certain dollar volume automatically on a kind of an auto trade kind of situation. We believe that on pullbacks we should be much more aggressive and when it reaches new highs, we’re going to be softer. But we’re always going to buyback regardless of price the amount of stock that we put out in our stock programs each year. So that’s kind of where it is. And then on top of that of course we have - we made a 20% increase here in the dividend. We want the dividend to play a little larger role and we’ve, I think previously announced that we expect the dividend to grow for a period of time here at a rate faster than the growth in earnings.
Tobey Sommer: Thank you very much for the context.
Operator: We’ll take our next question from David Gold with Sidoti & Company.
David Gold: Hi. Good afternoon. So couple of questions. First, as you speak about planned headcount growth for the year, about 1% a quarter, can you speak a little bit about what practices you’d like to focus on there?
Paul Johnston: Sure, David. I think that - I mean, they’ll be recruiting I think across the board in practices, but there are clearly some that are very small right now and they are really the ones we talked about that were particularly strong in 2015. So material science, polymer science practices, both of those in addition to biomedical and some of the thing in the areas in the infrastructure practices. Those are the areas that showed the most growth and I think are the strongest, but we certainly don’t see limiting the hiring to those groups.
David Gold: Got you. And presumably it’s more a function of demand based at this point?
Paul Johnston: Well, yes and no, David. I mean, the way I would say that is I think it’s important for us to keep in mind that our - the most common people we hire are sort of the entry level folks and those people are coming out of Ph.D. programs. And in order to get the best talent, we want to sign up for those six, nine months in advance. So it’s not a matter, okay, we got a project, we’ve got to find somebody to support the project. You have to think a little bit longer term. But I think having said that, there is lots of tools to work that into place. I think that the practices that are strong usually stay strong for quite a period of time and that I think fits very well, and then there is also a way to deal with if practices are really struggling, there is probably some people who underperforming there and one can cancel or add some staff there. So there are various tools that we have, but I wouldn’t want you to think that we can kind of immediately turn it on and turn it off.
David Gold: I guess, yes. I mean that’s more of a question of if that’s the case how do we ensure that we continue to progress on that utilization side as you hire if it’s more a function of talent availability than it is demand?
Paul Johnston: Yes, well, I think there is a give and take involved with those. Look, we’ve - over the last two years, we’ve had two areas that were challenging for us. We announced at the end of the third quarter that because of the end of the large project in the Gulf that there was an impact - clearly going to be an impact to our environmental group. And as part of that, we did adjust down some headcount. We did a similar thing the year before with the end of combat troops in Iraq and Afghanistan. So when we get those kinds of events, you do make some adjustments. But overall, I think it generally moves a little bit slower than that. But having said that, the areas that are hot, stay hot for quite a while and we’ve got quite a lot demand out there for bringing in new talent and our stronger practices.
David Gold: Got you. Okay. And then two broader from a capital view standpoint. So it sounds like you’re looking at the two bucket presumably of repurchases and dividend growth. And I know I guess you were asked the question of is there a target on the repurchase side, but similarly, is there a target on the dividend side?
Paul Johnston: No, David, not at this time. We haven't, what I’ll call defined sort of the payout ratio or something like that. Obviously as the dividend continues to rise here as a percentage of the profits in the company, at some stage we’ll need to define that, but I think at this stage, we don’t feel like we haven't defined that.
David Gold: Got it. Well, I guess part two is, as you accumulate cash, you get a pretty significant pool, do we think about either a special dividend in there, and then alternatively are acquisitions entirely off the table or you just haven't found one that sort of made sense?
Paul Johnston: Well, first of all, acquisitions are not off the table. It really is a matter of finding one that makes sense. And it’s actually really quite unpredictable because it just depends on what’s out there in the marketplace and whether we think it fits a niche that we’re looking for. So it’s really quite difficult for us to predict. Most years, we end up getting to a point where we make an offer on one or more companies and we did that last year, but we didn’t get to the point that we had to deal and we’re not going to overpay and it has to be the right fit. So they are not off the table. We still have some areas we’re looking in. We’ve talked about them before some of the pharmaceutical health area. We’ve talked about into sort of the computer science and data analytics area. These are areas we’re still interested in. So it’s still my hope that one of these years I’ll surprise you and we’ll actually get something done. So that’s what I would say, that’s not off the table. Up till now, we’ve not wanted to do a special dividend. We don’t think that that’s the best way to go. I understand as the cash reaches new heights here, that might be something we might have a discussion with our Board about. But it hasn’t been something that there is being support for in the past.
David Gold: Got you. Okay. Perfect. Thank you so much.
Operator: We’ll take our next question from Tim McHugh with William Blair.
Unidentified Analyst: This is actually Samir [ph] calling in for Tim. How is it going guys?
Paul Johnston: Pretty good. Thanks.
Unidentified Analyst: Just most of my questions have been asked, but as far as the macro front, have you seen anything on the proactive side that’s changed as far as like the demand environment? I know you also have a really small percentage of energy exposure. But any comments there?
Paul Johnston: Yes, I think some of its stronger and some of its weaker. So I made comment on that a little bit. I think the weaker part is probably fairly obvious. There is no question that the energy is tougher now. That client base is hurting big time and so it’s more difficult. And that doesn’t come in a particularly good time for us because we’ve historically done a lot of work for the energy sector and the reactive side and we expect to continue to do that as incidents happen. But on the proactive side, we’d really only just been getting going on that and so I think that’s a little bit of a challenge for us. But I would flip that around and there is some positive things I think going on for us. We feel the medical device and consumer electronics world is - continues to be extremely strong and we think we’re growing in that area. Certain of the infrastructure practices, some of that’s reactive work, but there is a fair amount of that that’s proactive work in the utility space, new projects, new development and so forth and I think that that’s positive. I think our regulatory business in the U.K. continues to grow well. It’s been a little challenging for us this past year because obviously we’ve had a change in the dollar of strength relative to the pound and euro. So it’s been a little bit of a challenge for us not in terms of profitability, but just in terms of demonstrating the growth that we are actually seeing over there. So I think there is a bit of a mixed bag, but there are plenty of growth opportunities just as some or not very good right now.
Unidentified Analyst: Okay, thank you. I appreciate that.